Operator: Good morning, everyone. Thank you for standing by. And welcome to BIO-key International's 2024 Fourth Quarter Conference Call. Afterwards, listeners will be invited to participate in a question and answer session. As a reminder, this conference is being recorded today, Thursday, March 27, 2025. I will now turn the call over to Bill Jones, investor relations. You may proceed.
Bill Jones: Thank you, Rocco. Today, our hosts are BIO-key's Chairman and CEO, Mike DePasquale, and its CFO, Ceci Welch. As a reminder, today's conference call and webcast, as well as answers to investor questions, include forward-looking statements which are subject to risks and uncertainties that may cause actual results to differ materially from current expectations. Words including anticipate, believe, estimate, expect, plan, project, or similar words generally express and identify forward-looking statements. Such statements are made based on management's beliefs, assumptions, and information currently available as of today, pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. For a complete description of risks that may affect future performance of the company, please see Risk factors in the company's annual report filed on Form 10-Ks with the Securities and Exchange Commission. We caution listeners not to place undue reliance on forward-looking statements, which speak only as of today. The company undertakes no obligation to revise or disclose forward revisions to forward-looking statements to reflect circumstances and events that occur after today's call. I will now turn the conference over to Mike to begin. Mike?
Mike DePasquale: Thanks, Bill. Good morning, and thank you for joining today's call. After my prepared remarks, I will turn the call over to Ceci for a financial overview, and then we will open the call to investor questions. As highlighted in today's release, we substantially strengthened the margins, profitability, and strategic potential of our business in 2024, putting us in a far stronger position to grow and move the business to profitability and positive cash flow. Also, after the close of 2024, we substantially strengthened our financial position with approximately $3.8 million in proceeds from a warrant exercise. Also, at the same time, we were able to reduce our outstanding debt to approximately $730,000 from approximately $1.5 million at the end or close of 2024 to what is now currently approximately $730,000. This puts us in a much stronger position to continue to execute on our growth plans. We accomplished most of this by continuing to expand our base of customers and repeat customers and by exiting our low-margin software and services relationship with Swivel Secure to focus our full efforts on core BIO-key solutions such as PortalGuard IAM and our identity-bound biometrics. These solutions have far stronger technology, competitive positioning, and customer value and also deliver far higher gross margin contributions than the third-party solutions that played a helpful role for us in building our presence in Europe, the Middle East, and Africa. Our efforts enabled us to increase high-margin software license fee revenue by 20% to $5.2 million in 2024. Excluding the impact of hardware reserves in both periods, 2024 gross profit rose 8% to $5.4 million for an adjusted gross margin of 78% compared to an adjusted margin of 64% in 2023. The business transition did, however, result in the loss of lower-margin services revenue, which offset the growth in license fees and contributed to an 11% decline in revenue to $6.9 million in 2024. We were also able to further reduce operating expenses by 6% in 2024. We were able to trim our cash burn by 23% to $2.9 million in 2024, from $3.8 million in 2023. With this transition behind us, we entered 2025 in a much stronger position to drive top-line growth and to bring more of that revenue to the bottom line. Importantly, we are already seeing very encouraging order activity and customer interest in our solutions so far in 2025, and that underscores our optimism for the business this year and in the future. Though we have long spoken of expanding breadth of cybersecurity vulnerabilities, actual breaches, and the limitations of many widely used identity and access management solutions, many of the IT teams we speak with are recognizing the urgent need for them to deploy stronger and more user-friendly and cost-effective solutions to protect their systems in beta. There's a growing recognition of the inherent vulnerabilities, growing costs, and usability challenges of widely deployed current authentication methods that rely on passwords, mobile phones, or tokens. 2024 was the first year of the SEC's new cybersecurity risk management and reporting rules for public filers, elevating the importance of these issues with senior management and directors. In addition to compliance requirements for cyber insurance policies, this growing awareness is helping customers appreciate the substantial value we have built over the past years in forging our flexible suite of passwordless, phoneless, and tokenless authentication solutions. On top of increasing cybersecurity demands and high-profile incidents, the shortage of cybersecurity talent is also challenging organizations' ability to prevent or respond to cyberattacks and threats. This current backdrop, though scary, is proving ideal in supporting the secure and cost-effective solutions we offer. As a result, we are seeing very encouraging interest and demand for our solutions in mission-critical national defense, financial services, and education applications. The Middle East and the Asia region or EMEA countries, where the security and value of our passwordless, phoneless, and tokenless authentication solutions enabled by our unique biometric capabilities, are gaining growing recognition and adoption. As an example, in late 2024, we secured a $910,000 contract with a long-time foreign financial services client to implement our most secure and user-friendly one-to-many biometric identification technology across its branches. The client has already enrolled fingerprint biometrics for over 25 million of its customers and is now upgrading our fingerprint-only identification technology, which enables our client to positively identify each individual from its universe of enrolled customers solely via a fingerprint scan. This enhanced solution is expected to trim approximately 30 seconds from each of their customer interactions, resulting in an improved customer experience as well as substantial long-term savings for them. Another example is our longstanding relationship with defense ministries, which substantially expanded its deployment of our biometric solution in 2024, a trend we expect to continue. We currently provide authentication security for over 80,000 ministry personnel and expect the size of this deployment to double or triple in the coming years as work under a new three-year procurement arrangement in 2024 has begun. For perspective, this customer has already contributed a total of over $3.3 million in hardware and license revenue to date. Similarly, we referenced in today's release the partnership we forged with the National Bank of Egypt and our partner RIOT Information Technology to integrate our PortalGuard IAM platform with their leading industry governance solution. This project will initially secure the digital access and identities of the bank's 30,000 employees, and we believe there's a future potential to expand the deployment ultimately to its millions of customers. Turning to the U.S., we have built a very strong presence in education to over 100 institutions representing 300 individual single opportunities serving over 4 billion end users. We continue to build our presence in this market to new colleges and universities that are adding the PortalGuard platform to their use case. So far in 2025, the Wyoming Department of Education deployed PortalGuard IDAS, and we recently executed a strategic partnership with which guides IT solution procurement for 195 K-12 schools and districts serving over 2.5 million students. This new relationship positions BIO-key to provide our IAM solution to those member schools. As we also referenced in today's release, we have been working to see future business opportunities in emerging markets, including food and food safety, Internet of Things solutions, drone technology, and autonomous vehicles. Partnered with Fiber Food Systems, Inc., and exchanged BIO-key shares to secure a stake in an innovative drone technology developer, Boomeranging, Inc., which will surely require strong identity and access management solutions. The equity exchange strengthened our balance sheet and also led to a strategic collaboration seeking to integrate our biometric technology in aerospace, defense, healthcare logistics, and smart cities applications in development by Gwin Partners, an engineering and design firm. These initiatives are in the early stages and will take time to develop, but we believe they represent exciting potential commercial opportunities for IoT down the road. On the current business front, 2025 is off to a solid start, and we feel well-positioned to deliver improved top and bottom-line performance. We've transitioned our EMEA focus to IoT solutions and are seeing meaningful signs of customer engagement, particularly in Europe and the Middle East. Globally, we are also seeing growing appreciation for the value of our unique passwordless, phoneless, and tokenless IAM solutions and core biometric technology, all of which underscores our optimism. We also continue to focus on opportunities to reduce costs and lower our breakeven level. At the same time, we seek to drive growing sales through our China channel alliance partner program and our internal sales teams. In addition, we launched PortalGuard IDAS on the AWS marketplace last fall, enabling AWS customers seamless purchase and integration of PortalGuard into their enterprise. Today, our business is predominantly subscription-based and partner-centric. As roughly 50% of our new PortalGuard business is sold through partners, while nearly all of our EMEA business is partner-based. As a result of these initiatives, and with approximately two-thirds of our revenue derived from contracted ARR, we are very confident that BIO-key will return to growth and deliver improved profitability in 2025. With that overview, I would like to turn the call over to our CFO, Ceci Welch, to review the financials before we take investor questions. Ceci?
Ceci Welch: Thank you, Mike. Our results were released this morning, and we plan to file our 10-Ks by Monday. Now let me review some of the operating highlights, keeping in mind that year-over-year comparisons are to our restated 2023 results that we filed in our prior 10-K. As Mike touched on, we are excited about our EMEA civil secure services agreement in Q2 2024 exited. Sorry. And related royalty structure and fees. Create a fairly low-margin business and no longer justify the resources that required. While the termination created revenue headwinds in 2024, we believe it ultimately strengthens our business by enhancing gross profit margin moving forward and focusing our EMEA activities solely on BIO-key Solutions. As a result, BIO-key's revenues decreased 11% to $6.9 million in 2024, principally due to our exit from the Civil Secure Limited distribution agreement. This strategic decision caused the reduction in lower-margin service revenue related to third-party licensed products that has enabled BIO-key to focus on its own higher-margin software products. As a result of this transition, the 2024 license fee revenue increased 20% to $5.2 million in 2024. Service revenue declined to $1.1 million from $2.2 million in 2023, and hardware revenue declined $632,000 from 2024, and $1.2 million in 2023 due to a large expansion order received from an existing customer in Q4 2023 that did not reoccur in 2024 is expected again in 2025. In Q4 2024, our license fee revenue increased to 77% to $1 million. Lower margin services decreased 28% to $344,000, and hardware revenue declined 88% to $94,000, resulting in Q4 revenue of $1.5 million compared to $1.8 million in Q4 2023. Our gross profit grew to $5.6 million in 2024 from $1.4 million in 2023 due to the impact of the $3.6 million hardware revenue in 2023. Hardware reserve. Sorry. Growth in high-margin licensee reduction in lower-margin services and hardware revenue compared to 2023. 2024 gross profit also benefited from the sale of $213,000 of hardware in 2024, which was previously fully reserved. We reduced our operating expenses by $600,000 to $9.7 million in 2024 from $10.3 million in 2023. Due to the reduced SG and A partially offset by higher research and development engineering costs to support new product development. BIO-key continues to proactively reduce expenses where possible, and we will continue to closely manage and monitor our operating costs to identify possible savings in 2025. Reflecting on greater gross profit and lower operating expenses, BIO-key's 2024 net loss improved to $4.3 million or $2.85 million or $15.02 per share from a net loss of $8.5 million or $21.21 per share in 2023. Likewise, BIO-key's Q4 net loss improved to $1.6 million or $0.53 per share compared to a $2.4 million loss or $3.99 per share in Q4 2023. 2023 results also included a hardware reserve of $3.6 million in 2023 and $1.08 million in Q4 of 2023. 2024 included positive hardware reserve adjustments of $213,000 in Q4. The sale of hardware that was previously reserved. Per share amounts are based on weighted average shares of 2,059,884 in 2024 and 562,170 in 2023. Primarily reflecting new shares issued for the warrant conversions of over 1 million shares issued pursuant to the warrant inducement agreement in September 2024. The shares were priced at $1.85 per share for the warrant inducement, yielding gross proceeds of approximately $1.9 million before agencies and offering expenses. Turning to our balance sheet as of December 31, 2024, IoT had current assets of $1.9 million, including $438,000 of cash and cash equivalent. This concludes my prepared remarks. So operator, we can now begin the Q and A session.
Operator: Thank you. Please press star then two. And today's first question comes from Jack Vander Aarde with Maxim Group. Please go ahead.
Jack Vander Aarde: Okay. Great. I appreciate the update, guys. Thanks for taking my questions. Maybe just I'll start with a point of clarification. So I did hear correctly, the 10-K is expected to be filed on Monday or by Monday. And then on the restatements that were referenced, was there any new additional restatements in prior periods since you last reported 3Q results in November? Or is this just a reference to the restatements that were already disclosed earlier in the year? Thanks.
Ceci Welch: Yes, we expect to file the 10-K on Monday, this coming Monday. And we also are referring to the 2023 restatement. Nothing new this year.
Jack Vander Aarde: Okay. Thank you. That's helpful. So I guess moving on, Mike, last quarter, I was encouraged by the strong license revenue uptick. That happened in the third quarter, especially just given historical seasonality of the business. Where it's kinda softer, especially in Europe. And I believe you're expecting from in November, I think you were expecting to finish 2024 with at least having overall total revenue flat with compared to 2023. So, you know, may just help me understand what changed or didn't happen when relative to your expectations that you're talking about, I guess, back in November? Did something just get pushed into 2025? Did it spill through? Was something longer sales cycles? Just help me understand kind of what changed relative to your think you're kind of flat to growth expectations in 2024.
Mike DePasquale: Yes. I will say it's exactly as I described. It's fundamental to the a the Swivel Secure business. The services agreement resulted in I guess, a delta of about $800,000 or $900,000 for the full fiscal 2024. We had a couple of opportunities that we had in the pipeline for the swivel side that we were converting to BIO-key. And so they took a little bit more time and some of that slipped into the first quarter. The gross margin impact is just tremendous. I mean, you can see our blended gross margins now are nearing 80%. Getting out of that low-margin 10% margin software contract was software support contract was huge for us. And then selling BIO-key core product versus a third-party product, which had a 50% gross margin. Just has a huge impact on us. And so we've made a couple of announcements and on contracts that we closed out of EMEA one with the National Bank of Egypt in January, but one yesterday for a very notorious defense agency in Europe that is all BIO-key product and in fact is including biometrics as well with it. So it's fundamentally that transition, Jack, and that's where we came up short.
Jack Vander Aarde: Okay. Got you there. And then maybe just I guess if I look at the fourth quarter, Mike, the license revenue was is up year over year substantially at least. So that's a positive there. I guess, I guess just given the the the Nuance comments about the SWO, you know, moving off or transitioning away from the SWO secured contracts to some new new your BIO-key solutions. Is that disruption and transition process, is that is that behind you now, or is this gonna be there some headwinds related to that, I guess, as you're entering 2025? How should we think about that?
Mike DePasquale: Totally complete, totally done. We are again, you saw the contract yesterday. Huge, huge contract for us in the context of visibility size and magnitude we are building a very significant presence in the international defense marketplace. And this is just another one of those. We are totally behind the transition. We're complete with that.
Jack Vander Aarde: That's helpful to know. And then just in terms of your outlook, so you are expecting, it sounds like you're officially expecting, it sounds you're confident you expect to return to growth in in the revenue line and improve profitability during 2025. Relative to 2024. Since we're already almost done with the first quarter here, it's March 27, just any any sort of data points, insights into how you expect the first quarter to kind of look compared to, I don't know, the fourth quarter of of 2024 and the first quarter of 2024? Has the first quarter of this year looking.
Mike DePasquale: Yeah. Well, we're not closed yet, and that's number one. And number two, we do expect to absolutely emphatically grow our business in 2025. And more importantly, you can see just again via the numbers, the gross margins and the march towards profitability should be very aggressive this year. Our breakeven is coming down. Our expenses, we continue to manage them very, very closely. We're still investing in R and D in areas that are necessary to stay on the leading edge and we are doing that, our biometrics business. So yes, I'm expecting a very, very good 2025 and not only growth on the revenue side, but also a much more accelerated path to profitability and cash flow breakeven.
Jack Vander Aarde: Okay. Great. And then maybe just from a segment perspective, because things have obviously been you know, you guys it's been very fluid here. Licensing recurring license revenues, obviously, the story. From from, I guess, from a hardware perspective and then a service perspective, those two segments, are we expecting can you just help walk me through those, I guess? Are we expecting growth in the hardware line at all, or is that maybe that's a a potential upside benefit, or is that not really the focus And then the services revenue side as well, it's been kind of stable between, you know, $20,000 to $34,000, I guess, per quarter. On the rev or $340,000 to you know, $200,000 on the on the revenue quarterly line. Yep. Growth in any of those segments?
Mike DePasquale: Yeah. So great question. So on the hardware side, interesting as I mentioned biometrics and that's our unique competitive advantage are becoming more and more part of every contract. That we're selling. So with that comes hardware sales. Because typically customers are deploying in the enterprise are deploying our finger biometric technology. So along with the software, the subscription license software, they're also acquiring the hardware to be able to facilitate the authentication process. So I do believe we'll see growth on the hardware side. I do believe that. On the services side, I think we're going to be very, very stable to growing. But it's not going to be again against that software support contract like we had in 2023. That's gone. It didn't exist in 2024. So I do believe you'll see growth on the services side as well. As we proceed forward. And that will be professional services, or different types of support that may be even episodic that we provide our customers as they onboard our solutions. So, yes, I do believe we'll see growth in both of those lines in 2025.
Jack Vander Aarde: Great. Okay. And then maybe just one more and I'll hop in the queue. That the large order you secured in the fourth quarter, the $910,000 contract, Did that was that fully recognized in the fourth quarter? Or is any of that getting, spilled into Q1 of 2025?
Mike DePasquale: Actually, a significant portion of that order is in Q1 of 2025. So that was in addition, as I mentioned, we have a very large financial services customer that upgraded to our latest technology. So that was and we sold them a two-year subscription, which will renew in Q1 of next year, which now represents $1.5 million in recurring revenue. So this was kind of an add-on or an upgrade to that existing subscription. So there was about $250,000 or so recognized in Q4 Q3, Q4, I believe Q4 and about $600,000 in Q1. So good question.
Jack Vander Aarde: Okay. Great. That's that's good to hear. I think that's it for me. I'll hop back in the queue. Thanks for the questions for taking my questions. Thanks, Jack.
Operator: Thank you. Assemble our roster. And our next question comes from Dan Kamas, a Private Investor. Please go ahead.
Dan Kamas: Oh, hey. I'm just looking at the release from yesterday. Or the day before on the said it's a European defense agency. I'm just wondering is there any kind of idea of the scale the amount of the contract here or the recurring revenues Thanks. And that's the new contract that we announced yesterday?
Mike DePasquale: Yes. The Spain and Holmdale, New Jersey, it's the global leader in identity and access If the the contract we announced yesterday is with the Nutanix new customer that's not an existing customer. It's a new customer. And I can't share any more detail on that other than what you saw. We as the press release described, we completed the initial deployment in in record time. I mean, we did it in days. And we'll be working on the next phase and this is phased, we'll be working on the next phase in the second quarter this this quarter coming up. So it's a substantial contract and it's with a very notorious defense agency in Europe.
Dan Kamas: I see. I mean, can we assume that since it was done so fast at the first phase is pretty small? Or is that
Mike DePasquale: No. I wouldn't make any assumptions on that. At all. But but again, I I can't really share any more of the data on on that and our partner and the likes. It's just highly confidential.
Dan Kamas: I noticed there's been some noise in the World Bank about moving Nigeria forward on their ID plans Is there any update on that that you can give us in terms of the long stalled BIO-key contracts in that
Mike DePasquale: Well, you're right about that, Dan. There is a lot of talk. The World Bank has circled back at the beginning of this year, at the end of last year, beginning of this year to try to accelerate what they have been trying to accelerate for ten years, which is the full enrollment of all citizens in Nigeria for all kinds of applications, but mostly in the financial sector. And we'll see. They claim to now be putting an infrastructure in place to be able to pay all of the vendors that enroll these individuals and obviously that includes purchasing hardware and software and all that other stuff. So we'll see. We're watching it and we'll we'll see what happens over the next over the next few months or as we approach middle of the year. I really can't share any more than that. Again, I'm following it closely.
Dan Kamas: I mean, is there any potential for sales of the original hardware that had the inventory?
Mike DePasquale: Absolutely. But again, there has to be the facility in place to do it. And we are obviously have other opportunities for that equipment outside of again Nigeria and some of the Africa on that particular opportunity to materialize. We're working other ones as well. If the same time. So we have sold some of that inventory. We sold some of it in in 2024, and we expect to sell much, much more of it in 2025.
Dan Kamas: Yes. I noticed there's about $200,000 in reversed reserve or something. This quarter, does that mean that you sold about $200,000 worth of that hardware and the fourth quarter? Yes. Can you tell us any any more data about that or is it
Mike DePasquale: No. It's just again we have various projects that are are in the works and we're seeding them. So we hope that we'll see some more significant, I'll call it volume orders. Right? Larger orders in the coming in the coming periods?
Dan Kamas: Am I calculating right that you had about a $500,000 loss in the fourth quarter? Or am I not calculating that right? Because there's no quarter. Data. I'm sorry. You're breaking up a little bit there. I'm missing what you were saying. I'm sorry. What was your cash flow loss in the fourth quarter? From operations?
Ceci Welch: I don't have that number in front of me. We didn't Yeah. I didn't do a separate cash flow for for the fourth quarter, actually, just for the year.
Dan Kamas: Alright. I mean, but it was less, right, than
Ceci Welch: Oh, yes. Yes. Cut back. And we're not cutting back.
Dan Kamas: And, Mike, on the r and d, I is is that an increase? I think you mentioned an increase in r and d. Can you give us some clue as to what that is being spent on or anything that's coming up? Yeah. And I think we've all
Mike DePasquale: communicated quite a bit about this as well. We feel there's a significant opportunity with past Keys, and we introduced a product called Passkey And so we're doing some integrations around that. And biometrics are becoming almost part and parcel of almost every deal that we're selling now. I mean, for someone who's been doing this a long time, and pushing biometrics because of the not only the security, but because of the convenience and the overall user experience. We're seeing that really come to life now. And so the integrations with some of the larger partners, those APIs, things like that are really where we're spending most of our time and energy and also money also in the mobile off area. So, you know, we continue to believe that biometrics for real enterprise mobile authentication are a big play. So that's where we're investing right now. We're not our product is is very, very complete. These are just tweaks and additions to stay on the edge.
Dan Kamas: Okay. In terms of OpEx, should we expect, like, it flat from the fourth quarter for the first quarter or going back to the third quarter or what should we expect going forward in terms of OpEx?
Mike DePasquale: I have to refer that to Ceci.
Ceci Welch: Yeah. I think we're gonna be pretty flat for a little while. We're just looking for you know, to optimize what we're doing right now. So pretty flat for a few quarters.
Dan Kamas: Okay. Alright. That's all I got. Thank you.
Operator: Thank you. And showing no further questions, this concludes the question and answer session. I'd like to turn the call back over to Mike DePasquale for closing remarks.
Mike DePasquale: Thank you everyone for your time today and for joining this call. You may reach out to our IR team whose contact information is in today's press release. With any follow-up questions. Also, look for us at the Maxim TMT Conference in early June which we expect to participate in and be available for investor meetings. We also look forward to updating you on our Q1 call in May And as always, we'll provide interim news updates via press release. As they evolve. Thank you again and have a great day.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.